Operator: Thank you for standing by, and welcome to the Bravura Solutions Limited Half Year Results Announcement. [Operator Instructions] I would now like to hand the conference over to Mr. Colin Greenhill. Please go ahead, sir.
Colin Greenhill: Good morning. Thank you for joining us for the presentation of Bravura Solutions first half 2026 results. My name is Colin Greenhill, and I'm the CEO. I'm joined today by our Chief Financial Officer, Neil Montford. I'll present to the following agenda: first half '26 highlights, capital management, first half '26 results details, outlook and guidance, questions and answers. We had a strong first half. The key messages are: we continued to successfully deliver cash EBITDA, profitability improvement and revenue growth. Our strategy of growing with our existing customers continued to deliver additional revenue and profitability both in the current year and into the future. We see some opportunities to grow our existing U.K. customers and other customers globally. For example, we're excited to partner with the current U.K. customers to expand into the U.K. workplace area and to support 2 major customers with client integration projects. Our business continues to generate strong cash flows and an interim dividend of $25.9 or $0.0577 per share has been announced. This is 100% of NPAT for the half and continues to represent strong confidence in the profitability and stability of the company. In addition, a special dividend of $20 million or $0.0446 per share has also been declared, which represents our commitment to deliver strong shareholder returns. Our focus on business units has enhanced delivery and results for both the organization and individuals and allowed us to empower our people to drive various business units forward. Personally, I'm excited to have joined Bravura at this time. One area of consideration will be capital allocation as the business continues to move forward. We continue to see improvements in financial results with good momentum coming from focusing on customers and discipline around costs. The underlying financial headlines adjusted for the Fidelity International license sale transaction in the prior year are as follows: cash EBITDA of $34.2 million, up $14.2 million versus first half '25. Underlying NPAT of $25.9 million, up $14.6 million versus the first half '25. Revenue of $140 million, up 9.8% versus the first half of '25. Recurring revenue of $81.3 million, up 5% versus the first half of '25. Net closing cash balance of $64.5 million with no debt. 2 dividends declared being an interim dividend of $0.0577 per share and a special dividend of $0.0446 per share. Further details of our first half '26 financial performance, including cash flow, balance sheet, operating results and a reconciliation of cash EBITDA to underlying NPAT can be reviewed in the appendix of the results presentation deck. Today, we're announcing a first half dividend of $0.0577 per share, $25.9 million and a special dividend of $0.0446 per share, $20 million. These dividends will be unfranked and the dividend reinvestment plan remains suspended. The record date for the dividends are the 18th of February, 2026, and the payment date for both dividends is expected to be the 12th of March, 2026. Capital management, including allocation, is currently being considered to ensure that Bravura has appropriate support to allow it to grow and succeed. Over the past 2 years, we have returned over $0.40 per share through a mix of capital return and dividends. The bridges -- this slide bridges our recurring revenue from the preceding corresponding period. We see strong growth continued by focusing on growing functionality and utilization with our existing customers. This growth is reflected in increased professional services and product enhancements, which in turn has supported increased pricing for our expanded services. As mentioned earlier, we have an anchor client in the U.K. workplace that we'll be able to help other U.K. clients in this area. We're also supporting 2 major customers with client integration projects. Innovation and digital advice remains an important part of our mid-winter business in Australia and has been successfully implemented across several major superannuation funds. We are increasing engagement with our customers about their future road maps so we can align and prioritize product development in the areas that help them the most. We see fair prices for the software and development we provide and approximately 2/3 of the growth in recurring revenue in the last year has come from increases in pricing. Attrition reflects our customers' changing business models, markets, and in some cases, their ownership. This number includes the impact of one-off Fidelity International sale on recurring revenue and the full impact being seen in this chart. This also includes client revenue reductions where the recurring revenue amount is based on a volume or product mix. We highlighted 3 expected and material attritions in the announcement late in 2022. The first of the 3 clients departed several years ago. Second client departed just over a month ago at the end of this reporting period. We will see the full impact from the start of the current period in 2026. However, we have more than covered the impact of the exit of the customer in the second half revenue, which underpins the guidance update issued on the 9th of February, 2026. The third client is subject to ongoing discussions and is yet to confirm that they will depart. As you can see from these graphs, cost discipline to offset inflationary pressures in all our markets has been strong, and the revenue growth has not resulted in an increase in the cost base. The full run rate of cost savings delivered during F year '25 has benefited the current half and cash EBITDA has continued to increase. We believe we are well positioned for further improvement in our financial performance in the second half of 2026 as communicated in our guidance update at the start of this week. Earlier in the week, we upgraded guidance for full year '26. This is the second upgrade to our original guidance for full year '26. Revenue, we are now forecasting revenue in the range between $280 million and $285 million. Profitability, we're now forecasting cash EBITDA in the range between $69 million and $73 million. PP&E is expected to increase to $4 million for full year '26. So in conclusion, as I step into the Bravura business, I spent time meeting with our customers, our people and our stakeholders. I'm really excited to be joining Bravura at this time and look forward to the journey ahead. Thank you, and we now open for Q&A.
Operator: [Operator Instructions] Today's first question comes from Olivier Coulon with E&P Financial Group.
Olivier Coulon: A couple of questions from me, if you don't mind. Just on inorganic growth opportunities, I suppose you potentially flagged you might be looking at that, the type of profile of the businesses that you might be looking at?
Colin Greenhill: Okay. Thanks, Olivier. Thanks for my first question. I think what we would -- we look at things that are closely associated to the value chain that we're involved in. I think you'd expect that to makes sense. We need whatever we're looking at to make sense. So we have very good and clear hurdles that we would look at. So you would expect it to be in something that is related to our business and that is immediately accretive to the business.
Olivier Coulon: I appreciate that. Just on the client integration. So I mean, obviously, in the APAC market, Aware and Telstra merger is a fairly obvious one. The profile of the second large client integration, and obviously, you probably won't want to talk about names, but yes, the profile of that client integration. And I suppose how the timing of that like is that all in FY '26 or is some of that flow into FY '27?
Colin Greenhill: So you're quite right that I won't want to talk about the detail of it. It's similar in nature that there's a large number of customers coming into one of our customers, and we're supporting them in doing it. In terms of the time period, it's ongoing at present.
Olivier Coulon: Okay. I appreciate that. And then obviously, the new workplace contract, pleasing to see some net new recurring revenue kind of wins. Can we just get a sense as to, like the scale of that contract, maybe the timing of the implementation revenue? And then I guess, the potential to win future clients off the back of that contract?
Neil Montford: Oli, it's Neil. I'll just pick up on that one. So I think we've said before that workplace is not a full platform. It's an additional sort of service offering that tags on to generally on to Sonata or Sonata Alta. So it's nothing like a full platform, but it is still a significant piece of work for us with an implementation. But yes, it's not -- we haven't won a platform. It's not -- it can be accretive, but it's not something that's going to be entirely evident when you're looking at a big -- there's not a big jump in numbers, but it's absolutely there and it's important. We do see opportunities for other workplace clients -- other clients that we've got already taking up a workplace opportunity with us. But it's not something that we're going to sell into clients we don't already have and as you know, in the U.K.
Olivier Coulon: Yes, okay. Just the last one for me. So the mid-October client turn event that you flagged, has there been any confirmation that, that client is definitely turning and discussion of potential timing of the offboarding?
Colin Greenhill: Oli, could you just repeat the first bit of the question, please?
Olivier Coulon: Yes. So at the AGM, you flagged that there was a client that had indicated that they are likely to turn in the future, and that wasn't 1 of the 3 that was talked about in 2022 as far as I was aware. But there was no timing as to when that was the case and no kind of formal confirmation. But obviously, you felt that it was appropriate to kind of guide the market on that. So has there been any further discussion with that client as to their intentions?
Neil Montford: No, no further information on that.
Olivier Coulon: I'll let other people ask, no doubt a whole bunch of questions on what you're planning to do on AI.
Operator: And our next question today comes from Tim Lawson at Macquarie.
Tim Lawson: Just in terms of the upgrade that you had on Monday. Can you just talk broadly about what you're sort of seeing on market conditions? So is it existing connectivity? Are there more opportunities? Are you winning more? Like can you just give us some more color on just the extent of the upgrade and what you're seeing in operating conditions?
Colin Greenhill: So let me take it in 2 bits and probably Neil and I will try and cover those off. So what we are seeing is that the team are increasingly focusing on talking to our existing customers, spending time with them and doing it, they've clearly got big plans and big strategic plans that they run. And we're just aligning to those in terms of the projects that we can support. So you'll see, if you look through the results, increases in the project revenue coming through. And there's also, I think, as we mentioned, where we've looked and we've been able to work with customers to realign contracts, elements of the pricing. So if you put those 2 things together, the bulk of the growth is coming through those. Neil, anything to add?
Neil Montford: No, I think it's within what you just said, Colin, that there's a piece around professional services, increasing the functionality of the software, and that does increase the cost for us to maintain the software. So we are seeing not just professional services revenue, but the professional services revenue in itself creates a higher run revenue. And that's fair because we do more work once we've enhanced the software.
Tim Lawson: And sorry, I just missed the -- you made a comment on pricing in your interactions, comments. I couldn't quite hear that clearly. Do you mind just repeating what you said there?
Colin Greenhill: I think it was in the presentation we went through where we've had the chance to review with customers contracts and pricing. We have looked to make sure that the value that we provide is fairly reflective. So you'll see, I think in the chart that an element of the increase in revenue is coming through from pricing.
Tim Lawson: So that 5% is fair pricing. Okay. That's fine, rather than any volume. And just in terms of the mix on recurring versus project work, like do you feel that you're sort of over-indexing now on project work versus recurring? What do you feel sort of maybe a steady-state type mix might look like?
Neil Montford: I think we don't feel we're over-indexing. And that's -- I think that's in part because the comment that Colin made about really trying to understand how we can help our customers and getting closer to them is what's driving a lot of the professional services. Certainly, in one case, it's our customer expanding and we're helping them. But it is coming from being closer to our customer base and really focusing on them. I think as well, the performances that -- the company performance over the last couple of years has meant that our customers are more inclined to work with us to expand what they've already got, and that's positive for us to -- it's positive for us to do that with them. So it's a better position for us to be in. There's trust in the relationships. We're around for the long term and so are they. I think the other piece that we're doing as well from a professional services perspective is that we are contracting minimum levels of professional services. That works well for us because we can plan to have the capacity to deliver the professional services. And it also means that when a customer comes along with something that they want us to do, we're ready to do it. So most, if not all of our contract -- well, all of our contract negotiations we're talking about minimum professional services goes down well with the customers, and it's helpful for us to manage an efficient business.
Tim Lawson: Yes. And just one last question for me on the comments around acquisitions. Do you feel there's a reasonable sort of environment where you've got businesses you'd be willing to buy, but also there's a willing seller? Like is there a reasonable expectation that you can actually get some transactions done?
Neil Montford: So I think this is my fifth week. So from what I'm aware of in the market, there are transactions, there are potential transactions. Where they are, what their prices are and how effective they would be to get involved is something that would be something that I will need to learn over a slightly longer period of time.
Operator: [Operator Instructions] Our next question today comes from Cameron Halkett with Canaccord Genuity.
Cameron Halkett: Colin, welcome. Great result to start here. Can I ask a question around the costs, please? Your predecessor took out a number of FTEs out of the business and streamlined the cost base over the last few years. As you enter the role, what's your views around the cost base as it stands, just noting there had been some further reductions compared to the prior half?
Colin Greenhill: So I think business-wise, if I look at how overall the business is performing, it's very strong. I think you'll have seen previously the previous management talk about the splitting down into business units. And what's good about having the split down into business units is you can look at everything we're doing at a customer and business unit level. So rather than talk about the overall business as a whole and talk about costs, what I'd say is that there are some businesses that probably have the opportunity to invest and grow. There are others that need to look at how they're performing. And the fact that we split the businesses into business units and have specific leaders in place gives us a chance to go into that granularity. That's something I'm used to, something that I had in place previously and something that I'll continue to use going forward.
Cameron Halkett: In your view then, I suppose, looking ahead, obviously, your sort of guidance has been largely upgraded from the revenue side, which has helped slow down. But as you enter Bravura, do you see, I suppose, further fat or economies within the cost base over the balance of this half, if not into the forward years?
Colin Greenhill: So I think if you look -- I think it's in the chart, if you kind of look at the broader world, the overall software and our cost pressures are probably upwards. So just keeping it flat is doing a pretty good job. In terms of -- I think you said fat. I've been here 5 weeks. I'm meeting a lot of people and getting to understand what each of the businesses do. I think it would be unfair to comment on that at this stage.
Cameron Halkett: Yes. Fair enough. And then I suppose around the client base as well Bravura has obviously been doing very good work with its existing base over the last little while. But there is some awareness, I suppose, that you are the fifth CEO for Bravura in 5 years. So I guess just any comment you can make around sort of your recent client engagement since joining Bravura in the last, as you said, sort of circa 5 weeks, just to perhaps absolve any concerns that there had been another change in the management?
Colin Greenhill: So -- and generally speaking, to give you absolute clarity, the first 30 days of joining, I spent focusing on meeting people. So I've met the majority, if not all of the team in the U.K. and remotely and then also now in Australia. So clearly, we're a people business. It was important for me to meet people. Well, I've started to meet customers now, the customer sentiment has actually been very positive. They like working with the team. I think the team do a good job. There are things we can improve, but there are also strengths that we have. And I -- no one mentioned what number CEO I was. They were delighted to meet me and I hope very much that we continue to deliver a great service to them.
Cameron Halkett: Nice one. And maybe one just for Neil, lastly. There have been mentioned, I think, from prior questions around at least an Australian expansion of works following a merger that looks to be done by the end of this financial year. As that sort of scope of work and/or any others out there, Neil, is there any expectation that some of this potentially will continue into the first half of FY '27 or we should expect some of these to conclude by the end of this half? Just trying to get an appropriate framing of the professional services work, which I guess, as you can understand, can be lumpy?
Neil Montford: I think the answer is that in Australia we're continuing to work strongly with all of our customers, and we've got line of sight on professional services, certainly for the second half and we don't see any change going into FY '27. But we're not running out guidance for FY '27. So that's not -- but we don't see anything changing dramatically from a perspective. I think to Colin's point, we can get closer to customers and the focus is very much on them at the moment.
Operator: There are no further questions at this time. I'll now hand back to Mr. Greenhill for closing remarks.
Colin Greenhill: Well, thank you all for joining, and thank you for making my first call go quickly. And I look forward to meeting some of you over the coming days. Thanks very much.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.